Operator: Good morning. Thank you for joining the Sherwin-Williams Company’s review of the third quarter 2009 financial results and expectations for the fourth quarter and full year. With us on today’s call are Chris Connor, Chairman and CEO, Sean Hennessy, Senior Vice President in Finance and CFO, John Ault, Vice President, Corporate Controller, and Bob Wells, Senior Vice President, Corporate Communications. This call is being webcast simultaneously in listen only mode by Vcall via the internet at www.sherwin.com. An archived replay of this webcast will be available approximately two hours after this conference call concludes. It can be accessed at www.sherwin.com. And will be available until Monday, November 9, 2009 at 5 PM EST. This conference call will include certain forward-looking statements as defined under US Federal Securities Law with respect to sales, earnings and other matters. Any forward-looking statements speaks only as of the date on which such statement is made. And the company undertakes no obligation to update or revise any forward-looking statement, whether as a result of new information, future events, or otherwise. A full declaration regarding forward-looking statements is provided in the company’s earnings release transmitted earlier this morning. After the review of third quarter results we will open this session to questions. I will now turn the call over to Bob Wells.
Robert J. Wells: Thank you Claudia. Summarizing overall company performance of the third quarter 2009 versus third quarter 2008, consolidated net sales decreased 12% to $1.997 billion primarily due to weak paint sales volumes across all categories. Unfavorable currency translation rates changes decreased consolidated net sales 1.6% in the quarter and acquisitions added less than 1% to consolidated net sales in the quarter. Consolidated gross profit decreased by $31.5 million for the quarter to $929 million. Gross margin increased 420 basis points to 46.5% of sales from 42.3% last year. The increase in gross margin was primarily due to lower year-over-year raw material costs, lower freight and distribution expenses and higher year-over-year selling prices. Selling general and administrative expenses for the quarter decreased $27.1 million, due primarily to tight spending controls. But increased as a percent of sales to 32.8% from 30% last year as a result of the sales declines. Net interest expense, net of interest and investment income was $8 million compared to $14.3 million last year due to a year-over-year reduction in total debt and lower average effective interest rates. Consolidated profits before taxes, for the third quarter, decreased $7.5 million, or 2.8% to $258.6 million due entirely to the reduction in gross profit dollars that could not be fully offset by lower SG&A spending and other expense reductions. Profit before tax increased as a percent of sales to 13% from 11.7% last year. Over tax rate for the quarter was 32.3% compared to 33.5% in the third quarter of 2008. We expect our effective tax rate for the full year will be roughly flat with last year at 33%. Consolidated net income for the quarter decreased by $1.87 million or 1.1% to $175.2 million. Net income as a percent of sales for the third quarter increased to 8.8% compared to 7.8% in the third quarter last year. Diluted net income for common share for the quarter increased one penny to $1.51 per share compared to $1.50 per share in the third quarter of 2008. Looking at our results by operating segments, sales for our Paint Stores Group decreased $189.7 million or 13.5% to $1.22 billion in third quarter ’09. This decrease was due primarily to continuing weak residential and commercial architectural paint sales volumes and lower sales of industrial coatings and non-paint categories that were all partially offset by improving DIY customer sales. Comparable stores sales, sales by stores opened more than 12 calendar months, decreased 13.5% in the quarter compared to third quarter last year. End market demand remained soft across most architectural coating segments during the quarter. Regionally, in the third quarter, our Eastern division lead the sales performance followed by Southwestern, Midwestern and Southeastern divisions. All four divisions had negative sales in the quarter. Segment profit for the group decreased $10.8 million or 4.5% to $230.2 million for the quarter. Due primarily to lower sales volume, partially offset by higher gross margins and lower selling general and administrative expense. Operating margin increased to 18.9% from 17.1% in the third quarter last year. In the consumer group for the third quarter 2009, sales decreased $25.2 million or 7.1% to $330.5 million. This was due primarily to lower volume sales to most of the groups’ retail customers. Consumer segment profit increased $30.2 million to $56.5 million in the quarter. Segment profit is a percent of external sales increased to 17.1% from 7.4% in the quarter last year, due primarily to good expense control and a return to more normal gross margins from deeply depressed levels in 2008. Turning to our Global Finishes Group for third quarter 2009, net sales in US dollars decreased $56.6 million or 11.3% to $444.1 million. Lower paint sales volume in the quarter and unfavorable currency translation effect were partially offset by acquisitions and selling price increases. Currency translation rate changes decreased Global Finishes Group sales by 6.4% in the quarter, while acquisitions increased sales by 1.4% in US dollars. Segment profits for the Global Group in US dollars decreased $15.7 million or 34.6% to $29.7 million in the quarter. Segment profit as a percent of net sales declined to 6.7% from 9.1% last year. This decrease in the segment profit in the quarter was mostly attributable to the reduction in sales volume and unfavorable operating efficiencies related to lower manufacturing volume, partially offset by good expense control. Unfavorable currency translation and acquisitions combined reduced segment profit $1.7 million. I’d like to now comment briefly on some of our balance sheet items. Our total debt on September 30, 2009 was $711 million compared to $1,026.8 billion on September 30th last year. Short term borrowings decreased 305 million to $411 million compared to third quarter last year. Long term debt to capitalization was 15% at the end of third quarter this year compared to 15.2% last year. Our cash balance on September 30, 2009 was $32.8 million compared to $40.9 million on September 30th last year. During the third quarter the company acquired $3.88 million shares of its common stock on the open market bringing our year-to-date total to approximately 4.88 million shares. On September 30th the company had remaining authorization to purchase 14.87 million shares. In third quarter 2009, we spent $22.7 million on capital expenditures. Depreciation expense was $36.4 million and amortization expense was $6.6 million. For full year 2009, capital expenditures will be in the range of $80-$90 million, depreciation will be about $145-$150 million. And amortization will be about $25 million. And I’ll conclude this review with three brief comments from the status of our lead pigment litigation. The city of Milwaukee public nuisance lawsuit against Motts Paint Company and NL Industries has concluded in favor of the defendant. As you may recall, Motts was severed from the case in claims against it were stayed in early 2007. NL Industries went to trial in May 2007 and in June the jury found in the company’s favor. The Wisconsin Court of Appeals affirmed the jury’s verdict in November of 2008. And in April of 2009 the Wisconsin Supreme Court denied the plaintiff’s petition for review. On September 25,, 2009, the plaintiff dismissed with prejudice his public nuisance claim against Motts. In California, the state Supreme Court will decide whether it is permissible for the cities and counties to retain contingency council to aid them in their suit against the former manufacturers of lead pigment. Briefing has been completed and oral arguments should not take place until at least the first quarter of 2010 with a decision possible in mid 2010. Last quarter, I reported that the Games case, a single plaintiff, personal injury suit was tried to a jury in Jefferson County, Mississippi beginning in June of this year and that the jury returned a verdict in favor of the plaintiff, awarding $7 million in damages. The company’s post trial motion seeking a reversal or a new trial were denied by the judge on October 5th; final judgment has been entered. The company will file its notice of appeal with the Mississippi Supreme Court by November 14th as we believe a number of significant errors were permitted during the trial. This appeal process will likely take 15-24 months. That concludes my review of our results for third quarter 2009. So I’ll turn the call over to Chris Connor, who will make some general comments and highlight our expectations for the remainder of the year. Chris?
Christopher M. Connor: Thanks, Bob and good morning everyone. Thanks for joining us today. Well, I guess it’s pretty obvious from our third quarter sales results that many the end markets that we serve, both architectural and industrial clearly are not yet participating in economic recovery rumored to be underway. Despite the relative improvement in domestic residential turnover, and the modest pickup in new residential construction in recent months, in total, architectural paint sales to contractors showed little or no sequential improvement in the third quarter. The demand trends we’re seeing also in the protective and marine coatings, as well as the OEM product finishes markets remained depressed. Most of the drag on architectural finance continues to come from the new construction markets, both residential and non-residential. For example, in the third quarter our Paint Stores Group architectural sales to all new construction segments declined in the low 20% range. By contrast, architectural sales to all repaint segments declined only in the mid single digits. And that’s the lowest decline in these segments that we’ve seen this entire year. Total architectural gallon volume in the third quarter showed a slight sequential improvement from second quarter due primarily to continued steady traffic in most of our DIY channels. And marginal improvement in our Paint Stores Group residential repaint and property maintenance businesses. From a profit standpoint, I’d say that the third quarter of ’09 turned out to be a better quarter than we had anticipated, reflecting the progress we continue to make in managing through this recession. Our ongoing efforts to align our fixed asset base with sales volumes improve our productivity in our plants and distribution centers in maintaining our pricing discipline has helped to restore our consolidated gross margin to more normal levels for the year. We controlled our SG&A spending, we’ve managed our working capital well. And once again we’ve generated a record in net operating cash in the first nine months. These improvements should provide significant earnings and cash flow leverage when finance begins to improve to more normal levels. SG&A expense decreased $27 million in the third quarter compared to the third quarter of last year, which I think is noteworthy considering we’re supporting 36 more stores than a year ago, as well as covering the cost associated with closing redundant store locations in the quarter. Our success in managing gross margin and SG&A expense, interest expense, and our effective tax rate all resulted in a 100 basis point improvement in third quarter net income as a percent of sales. Our working capital rates are likewise improved to 12.5% of sales at the end of the quarter, from 13% at the end of the third quarter last year. Which translates to a reduction of almost $47 million in our nine month working capital funding requirement compared to last year. Net operating cast in the first nine months increased $23 million to $615.6 million, as this reduction of working capital more than offset the decline in net income adjusted for non-cash items and an increase in cash expenditures for our environmental related matters. Nine months free cash flow increased 51 million to $427.5 million as we have appropriately pared back our CapEx. So far this year we’ve invested around $64 million in capital additions and improvements. We’ve reduced our total debt by $123 million. We’ve purchased $276 million in treasury stock and we’ve paid $125 million in cash dividends. Our Global Finishes Group continues to consolidate branch locations in the US, closing two automotive finishes and four OEM product finishes branches during the quarter. We ended this year’s quarter with 527 branches in operation compared to 541 a year ago. You know, we keep looking for signs that a recovery in paint and coating is underway or even close at hand. And there have been some encouraging trends, some positive momentum in the DIY channels, geographic pockets of strength in residential and commercial repaint activity. And the continued promise of stimulus funding for infrastructure improvement. All of these are positive, but significant challenges remain in both the residential and commercial restate markets in strong sustained growth in coating demand will come only after these challenges are resolved. In the meantime, we will continue to capitalize on the growth opportunities that due arrive. Control our expenses and working capital and generate cash and invest that cash to maximize shareholder value. Our outlook for the fourth quarter of ’09 is for consolidated net sales to be down in the range of 8-12% compared to last year’s fourth quarter. With sales at this level we expect the diluted net income per share to be in the range of $0.35-$0.55 per share, compared to $0.42 per share for the fourth quarter last year. For the full year 2009 we believe net sales will decline in the range of 11.5-12.5% compared the full year of ’08. With annual sales at that level, we expect balloon and net income per common share to be in the range of $3.52-$3.72 per share compared to $4.00 last year. Finally, last week our board of directors declined a regular quarterly dividend of $0.33.5 per share, up from $0.35 from last year, keeping us on track to achieve our 31st consecutive year of increased dividend. Again, I’d like to thank all of you for joining us this morning. And now we’d be happy to take your questions.
Questions and Answer Section:
Operator: Thank you. Ladies and gentlemen, we will now be conducting the question and answer session. (Operator’s instructions) Our first question is coming from Jeff Zekauskas with J.P. Morgan, please state your question.
Jeff Zekauskas - J.P. Morgan:
Robert J. Wells: I’m sorry, you broke up there, Jeff. 115.4, did you say?
Jeff Zekauskas - J.P. Morgan: 113.4?
Robert J. Wells: That’s – yeah, it’s 113-114, that’s a good number.
Jeff Zekauskas - J.P. Morgan: Okay. Second, did your average prices sequentially improve or decrease or stay the same?
Robert J. Wells: It stayed the same, Jeff.
Jeff Zekauskas - J.P. Morgan: Okay. Now, lastly, what you’ve done is you’ve said that your sales in the fourth quarter should be down about 10%. And I’m puzzled as to why you think that, especially with sequential flat prices. In that last year your sales were down 8% in the fourth quarter and they were up 3% in the third quarter. So if what you do is you just do some average sales calculations, that is you take last years sales growth number and this year’s sales growth number what you find is that, they average down about 5% for the first three quarters, but your number for the fourth quarter would be down nine. So what is the exceptional event which is happening in the fourth quarter that will lead your sales to be down so much?
Robert J. Wells: Yeah. I think when you look at the –
Jeff Zekauskas - J.P. Morgan: One more question, sorry.
Christopher M. Connor:
Jeff Zekauskas - J.P. Morgan: I guess, just lastly you’ve had a lot of improvement in your global business. Are we at now an improved sustainable level of profitability?
Robert J. Wells: No. We think that Global Group still has some room to grow. We think that as time goes on you’ll see the operating margins in Global Group on an annualized basis be higher than it is today.
Jeff Zekauskas - J.P. Morgan: Okay. Thank you very much.
Operator: Our next question is coming from Kevin McCarthy with Bank of America, Merrill Lynch, please state your question.
Kevin McCarthy - Bank of America, Merrill Lynch: Chris, some of the recent macro data on housing sites uncertainty around extension of the $8,000 tax credit for first time home buyers, or lack there of. I was wondering if you’d comment on what you’re outlook is there and to what extend that may have influenced your thinking on 4Q and beyond?
Christopher M. Connor: Yeah. I think sole the government decides to reinstate that we have to assume that it’s not likely to be there. We have seen better sequential results in the new home construction market throughout this year. But we would remind our listeners that it’s down from a peak of well over 2 million starts. And I think that’s some of the head winds that we’re feeling. Our philosophy all along has been we’re glad to see this discipline on the side of our home going customers. We think that it’s appropriate to get this inventory out of the market to get to a more normalized sustainable rate. Clearly the $8,000 one time tax incentive credit was a help. And we’ve been lobbying along with others the government to reinstate it for another year in 2010.
Kevin McCarthy - Bank of America, Merrill Lynch: And a follow-up if I may on the subject of raw materials. What would your outlook be on that subject for 4Q versus 3Q? It would seem that certain rods like titanium dioxide are starting to come off the bottom. Maybe if you comment on how much of the proposed hikes are flowing through from your perspective?
Christopher M. Connor: Sure. We commented often, Kevin, that a certain component of our basket of raw materials are sensitive to changes in crude oil pricing and natural gas pricing, both of which have shown some inflationary bias in recent months. And that makes it a little hard to prognosticate where raw material prices are going. It depends a lot on those energy inputs. The other thing being that – a lot of other materials like titanium dioxide and CO containers and various pigments and extenders are based more on the supply and demand balance, which also due to factory closings and supply rationalizations there appears to be a little more upward pressure. So, we see the risks, so far they’ve been very stable. And despite the fact that there’s been some pretty dramatic announcement, primarily by the titanium dioxide manufactures in the range of $0.10 a pound in the US and as high as $0.18 a pound in other regions of the globe. The pricing has been pretty stable though 3Q and the risks, obviously, being a significant pickup or increase in energy prices or continued demand improvements and supply constraints. So, we have not put our guidance together for 2010 yet. We would, however, expect that the raw materials for the fourth quarter would remain fairly stable.
Kevin McCarthy - Bank of America, Merrill Lynch: Thanks very much.
Operator: Our next question is coming from PJ Juvekar with Citi, please state your question.
PJ Juvekar – Citigroup Inc.: You know, paid dollars seem to be going more into the DIY channel and away from the contractor channel. So, just long term, how are you repositioning the company to go after those dollars in the DIY channels?
Christopher M. Connor: I think we’ve shared a lot of data with the straight relative to what’s happening. We track the total sales of architectural paint and have seen a peak of about 62% of all those gallons sold go to painting contractors about two, three years ago. To your point, PJ, that has retracted into the high 50%. And obviously then the DIY market accounts for the low 40% of that. That’s very typical and normal in a recessionary period like we’re going through at this point in time. What’s also very normal and typical is that trend reverses itself as we come out. We don’t think anything fundamentally has changed here in terms of the roll of the painting contractor will play long term in the demand for these products. And so many of our efforts continue to be focused on that painting contractor. To your point specifically, however, the company does have a DIY marketing initiative. Both through our own stores, as well as with our consumer group. And we continue to enhance though programs, renew product introductions, extended store hours in our stores groups, for an example. Some minor adjustment to retain pricing, etcetera. And all those are having somewhat of an impact. Our DIY business, for the company, for the quarter across all segments was down in the mid single digits and that trended through the quarter, getting better each sequential month up to this last month which was almost flat. So, DIY as we commented, I think, in the opening comments has been one of the stronger performing segments for the company in this quarter.
PJ Juvekar – Citigroup Inc.: Now that’s helpful. And you can you give a detailed answer on raw materials. My follow-up question on that is, do you think that third quarter was the low point in raw material costs?
Christopher M. Connor: There wasn’t a lot of change in raw material costs from 2-3, PJ. We saw most of the relief in raw material costs in the fourth quarter of ’08 and first quarter ’09. They’ve been pretty stable since then.
PJ Juvekar – Citigroup Inc.: And do you expect a headwind going forward?
Christopher M. Connor: On raws?
PJ Juvekar – Citigroup Inc.: On raw materials, yes?
Christopher M. Connor: Yeah. I think that Bob’s point, we haven’t given guidance yet for 2010. All of us are reading the same data points and there seems to be more pressure relative to some of the basket of raw materials. Certainly the titanium supplier that all announced price increases. And time will tell what happens with that. We’ll be able to give a lot more color in that in the first quarter of next year.
PJ Juvekar – Citigroup Inc.: Thank you.
Operator: Our next question is coming from John Roberts with Buckingham Research, please state your question.
John Roberts - Buckingham Research: In the Paint Store sale group discussion you said improving DIY customer sales, does that mean less down or in the paint stores I know DIY is a smaller part of that segment. But was it actually up?
Robert J. Wells: Yeah. To clarify that, I think we said for the quarter across the entire company’s, both consumer and store segment – and stores will right in the range of this as well too. They were down mid single digits, that sequentially improved. I would say the final month was flat.
John Roberts - Buckingham Research: Okay. And then N&A activity has picked up in other parts of the economy. Do you see any signs that the paint N&A activity will follow? Is it just lagging or structurally this business because the cash flow is okay at many of the target companies is just not under pressure to have some consolidation here?
Christopher M. Connor: Yeah. We’ve commented, a lot of the N&A activity in our area, particularly when it’s focused on the privately held company attends to really slow down through a cycle like this. You’re comment regarding cash and the balance sheet of these firms does in fact allow them to get through to better times. And I would expect that we’d continue to see a light N&A activity until this market returns a little bit.
John Roberts - Buckingham Research: Okay. Thank you.
Operator: Our next question is coming from Don Carson with UBS.
Don Carson – UBS Investment Bank : Yes. Thank you. Chris, can you just comment a bit on commercial, how big a part of your sales is it? And, I mean, you, I think, used to the term collapsing in reference to commercial. So, what signs are you looking forward as a part of the commercial market? And just any comments on the outlook for this year? I know, your overall architectural ideas you’re showing down 12% in the first half. Do you think that’s where we end up full year?
Christopher M. Connor: Yeah. I think that the – for the industry, Don, we’ve commented that the commercial market can account for somewhere around 30% of the total architectural basket. And we’re not far off from that data here. We may be actually still a little bit heavier for that. Through the first nine months new commercial square footage put in place was down about 40%, let’s calls it 50%, cut in half from last year’s performance. In looking forward, I think, more importantly McGraw Hills, Dodge reports and other inputs that we have would indicate that we’re still pretty much in an over builder environment for both commercial office space, residential retail support space. And we don’t see a lot of lift coming in those areas. So, when we talk about it falling off the cliff at 48% decline year-over-year, it’s pretty much going off a cliff in our mind. And we think that continues through the first half, at least, of 2010. And I’m sorry, I missed your second question, if you could repeat it?
Don Carson – UBS Investment Bank : Yeah. Just the overall deals going from the first half was down 12. Is that where you think we’ve end up coming out from the year as a whole? And just to clarify, your residential and repaint market, if you take both new construction and the non-commercial portion of your business, how much is that down overall?
Robert J. Wells: Actually, Don, if I’m understanding the question, architectural coating volume in the market for the first half was down about 15. It was 12 in the second quarter, 18 in the first.
Don Carson – UBS Investment Bank : Okay. How do you see that playing out for the full year?
Robert J. Wells: You know, based on our experience in the third quarter and in outlook for fourth, it’s unlikely you’re going to see significant sequential improvement in coating volume in the market.
Don Carson – UBS Investment Bank : Okay. And Chris, just want to clarify something. How is price holding up in the Stores Group? Is it holding flat, are you having to make concessions in any cases and how do you se price playing? Are you seeing –
Christopher M. Connor: Yeah. I think as you see in the margin, particularly in the Stores Group throughout the course of the year it would indicate that the pricing behavior has been very consistent with the outside. We have secured the pricing that we tried to put in last year where we’ve gotten all that we’re going to get, essentially. We have always, and this year’s no exception, had to sharpen our pencil for some larger projects. And so we’ll see some bid work that will be at lower average selling prices than last year. But in total and on average, we’re pleased with the results that we’ve seen there and we’re in pretty good shape. I would expect it to remain flat going into the fourth quarter from where we’re at right now.
Don Carson – UBS Investment Bank : Thank you.
Operator: Our next question is coming from Saul Ludwig with KeyBanc Capital Markets.
Saul Ludwig – KeyBanc Capital Markets : You put in that lower price line of a consumer goods in your stores to try to attract more DIY. I know that you only had it for one quarter but do you think it’s making any difference?
Sean Hennessey : I think the intention of that product, as we’ve always said, was to give our store personnel an opening price point to work from. If a typical customer in our stores trades up to higher quality product. It’s doing exactly what we had intended it to do. And that is to give them that base, low $20 price point. The sales of the product are de minimus at best, which is by design. And so we would consider that an appropriate execution on that plan. But certainly not a lot of sales to write home about.
Saul Ludwig – KeyBanc Capital Markets : Next question, you’ve done a great job on the expense info and the SG&A and you’ve talked about that. Could you talk a little bit about where those SG&A costs have come from? Are you reducing the number of new hires out of colleges? And as we look to next year, have you, sort of, rung as much out of those expenses as possible with the further incremental cost reductions are tough to come by?
Sean Hennessey : Yeah. You know, Saul, when you really ask the question, where are they coming from, it’s really reduced paint per service expense, tight admin spending control. And currency has really been somewhat of a lift. Not all, but really the first two is where the lion’s shares are. We really started to allow these programs over a year ago. We’re annualizing them. As each month goes by we continue to look for incremental things that will help. And we say but the bulk of the saves were starting to come to the end of the annualization. But that doesn’t mean that we’re not continue to look for things. We still find things. But, the lion shares of the things that have carried up this year are annualizing.
Christopher M. Connor: I’d also add, Saul, to your comment about are we stopping our college recruiting program and the answer to that is a definite no. We are still very active out there. There’d be hundreds of young men and women who are going to join the company through our management training program. We are adding door store count this year which requires some of that. As well as adding to our sales force without calling them painting contractors. This college recruiting program is a feeder to both of those initiatives. So those continue in strengthen. As well as just a natural low attribution in turnover we have which always gets backed well by this talent as well. So, still keeping our eye focused on the need for that kind of bright talent for the future and full actively on college campuses today.
Saul Ludwig – KeyBanc Capital Markets : And Sean, finally I’ve got to ask you about environment which seems to be a surging ahead this year. I guess, the vet of surprise and then this whole administrative – you were $11 million in administrative costs this quarter than last quarter. But yet year-to-date you’re actually down a little bit. Talk about environmental balance of the year and administrative balance of the year?
Sean Hennessey : First of all, you’re right, Saul, I think as we continue to do our remediation projects, and one of the things Bob mentioned in the cash flow. We received more cash going out this year than usual in our environment. But as we continue to do our remediation what happened was there was some situations that caused an increase in that. So, it really goes back to remediation. And it was somewhat of a surprise as the year went by. Because if you remember you asked me earlier this year, I thought from the accrued standpoint I thought we were in pretty good shape. I knew the cash would go out, it would be a cash usage instead of a store. But I would tell you that we feel pretty good about where we’re at. And we think if environment is anything it’s going to be a very small number in the fourth quarter. On the admin side, you’re right. I mean, we were up $11 million and we were up $8 million in environment in the third quarter. That really was the lion share. When you look at the full year, we’re down $6 and that’s really because our interest expense is down $19 million. And so that’s well more than enough to offset the environmental year-to-date.
Saul Ludwig – KeyBanc Capital Markets : The fourth quarter, I mean, last year you had that $60 million in that admin category. Where do you see this year?
Sean Hennessey : You know, Saul, we’re sort of avoiding giving an indication of where we’re going to be line-by-line or segment-by-segment, but this one we’ve done in the past. We do see this admin segment down this year. Down slightly for the full year.
Saul Ludwig – KeyBanc Capital Markets : Okay. And it’s down slightly for the – but why would it be that high in the fourth quarter? I mean, last year you had 6 –
Sean Hennessey : Well, yeah. I guess when you take – I was really looking more like on the year-to-date basis then, I would call slightly more than the $6 million that we are today.
Saul Ludwig – KeyBanc Capital Markets : Okay. And then finally, are you done with the share repurchases for this year?
Sean Hennessey : You know what, Saul. It’s interesting, when you take a look at the cash flow, our net operating cash was at $615 versus $592. Last year we were at $874. So when you take a look at last year’s fourth quarter we had a net operating cash at $280. Of that $280, $170 came from the improvement at working capital, all the way down to that $900 million worth of working capital. You know, at the beginning of the year we said that our net operating cash would be in the $700 million range. Now we’re feeling like it’s going to be $750. Again, void of acquisition we’re probably not going to hold much cash at year end. We feel our liquidity are strong, so we can see some more factory purchase.
Saul Ludwig – KeyBanc Capital Markets : Great. Thank you guys.
Robert J. Wells: Thanks, Saul. We saw 14 million shares authorization. So leave you with that thought.
Operator: Our next question is coming from Sergey Vasnetsov with Barclays Capital, please state your question.
Sergey Vasnetsov – Barclays Capital : You comment on sequential civility in deco painting and repaint is quite encouraging. And you re-segment that some would say consumer depressionary. Do you think there’s a decent chance that there could be some kind of demand for you in middle of next year as US homeowners probably can breath everything from this year 42:32
Christopher M. Connor: Well, Sergey, clearly we’ve seen a lack of demand throughout the last, you know, six, eight quarters in this segment, so, yeah, theoretically there could be a path demand. I do think you’re accurate as well that this is a consumer path demand issue. It’s also an existing home price issue. When home prices stabilize as opposed to declining sequentially, consumers will start to have a little more confidence to put some money back into their homes. So we are starting to see that stabilize. There clearly is some path demand for that and there is a possibility that next year we’d see a less of that.
Sergey Vasnetsov – Barclays Capital : Okay. Thank you.
Operator: Our next question is coming from Amy Zhang with Goldman Sachs, please state your question
Amy Zhang – Goldman Sachs : Thank you. I have a few questions. The first one is your paint store versus the consumer segment on a sequential basis. Look at the consumer segment versus second quarter looks like the sales was down quite a bit, probably around 10%. Your paint stores is up on a sequential basis about 4%. I remember some of your competitors report your earnings last week and then they essential – their consumer our end businesses were quite strong, either up pretty significantly or at least – sequentially at least, roughly flat. I’m just wondering, can you just give us a little bit of color why the consumer business is not a as strong as some people would expect for the third quarter versus second?
Christopher M. Connor: Yeah. I think for the quarter consumer group was off, kind in line with our Stores Group. I don’t think that it was performing worse than our Stores Group. And I think when we look some of the other public company basis, this business is all about your retailing partners. We’ve had some strength in some of those partners. Some others, not so much in the quarter. A lot of that can be timing as well. So, you know, we have not lost any shelf space with this group. Our programs are doing well there. And we’ll just have to see how the fourth quarter unfolds for them
Amy Zhang – Goldman Sachs : Okay. My second question is related to the paint stores. And I think a lot of people – and I understand there’s some near term had with no commercial construction markets. Some of the shares should have to find the contracted channels to the DIY. But if we look beyond fourth quarter which is the seasonality a weak quarter, we’re looking to 2010, when shall we expect to see the turning point for the volume trends for the paint stores? Is it more like the first half or the second half event?
Robert J. Wells: Amy, that is the question of the day. We don’t know when the volume trends are going to start to turn for this group. And I think we’re anxious to start to see that so that we can give appropriate guidance. I think you should take from our fourth quarter guidance of down 8-12% range is that we don’t expect to see it in the fourth quarter. And we’ll be commenting about calendar 2010 early in the year in our first quarter call. Visibility is difficult looking forward in this environment and I think we’ve tried to be clear about the fact that as we sit here today even though we’re seeing some of the sequential improvements and some of these repaint markets there’s enough headwinds in the others that we’re not ready to declare yet that the draught on gallons is over for the industry.
Amy Zhang – Goldman Sachs : Thank you so much.
Operator: Our next question is coming from Eric Bouchard with Cleveland Research Company, please state your question.
Eric Bouchard – Cleveland Research Company : Not to beat a dead horse, but the down 8-12 guidance in the fourth quarter, I’d just ask if you could break that apart a little bit? I understand that the modest price that you had in the third quarter won’t be there in the fourth quarter. But the comparison is so much easier. I’m just wondering if you can break through the business a bit to talk about what is applying that pressure incrementally, if it’s commercial and industrial or what it might be. And then also if you think that the share trend is getting worse before it gets better. I’d just like to understand that a little bit better.
Christopher M. Connor: Well, I think that I wish I could give you all those hard answers as to why this quarter isn’t going to have better sales results. We are into it a couple weeks, our guides are giving us their best look going forward. We’re talking to painting contractors. We’ve got a sense of what it’s going to look like. And the reality is that we’re going to be between that 8-12%. You’re accurate, Eric, in your assessment that pricing is a slight headwind, not the whole of it. And the market’s continuing to struggle. We had our entire team assembled last week as we always do at the end of a quarter and the south eastern part of the United States, for example, where we sell so much of this headwind we asked our leader there about any green shoots at. The answer is just not. There’s just no sense of that there’s any demand emerging yet even though we’re started to hear some reports about them coming. Don’t forget the contractors are late cycle on housing starts. The painters the last guy in, so we may be lagging it a little bit. We’re just not seeing it right not at all, Eric, on the industrial side as you mentioned, that too has been an area where companies have cut CAP ex, maintenance spending. We’re seeing a lot delay coming in for coatings and that segment. And then the new commercial construction market, as we’ve also talked in the call already, is a real headwind for us. So, you add all those factors together, we think we’re going to have a fairly soft quarter.
Eric Bouchard – Cleveland Research Company : Okay. And then secondly, I know that you don’t have a great perception of where – well, you have some perception of where input costs go next year. But with oil at 80 now and it was once 40 and with the supply taking off from some chemical suppliers, it certainly feels like input costs will be up next year. What are your thoughts about the ability to offset that with price considering the environment that we’re in?
Christopher M. Connor: Yeah. I think that you’re correct, oil is up at 80, but don’t forget it was at 140 not too long ago. So as we’ve talked about our negotiations with our supplier they’re trying to establish where raw materials are priced along that range. And we’re not agreeing. And I don’t think they’re claiming that they ever got their prices back the oil at $40 a barrel. So having said that, what are we likely to face, and we have to be willing to admit that there’s a possibility that raw material costs could be up slightly next year. It’s early for us to make that call. We would handle that, Eric as we have every time we’ve been in this environment. First of all, we’d look internally to see how much of that cost that we can offset and absorb. And failing that we would take pricing to the market. That’s been our history. And we would have the discipline to do that again if necessary.
Eric Bouchard – Cleveland Research Company : And then lastly, from a currency perspective, currency – am I correct that currency goes from being a couple point drain on revenue and 3Q to a couple point positive in the fourth quarter. Is that right based on how you keep score there?
Sean Hennessey : Yeah. Right now yeah. Flat’s up slightly with the – in fact, they just have some. But when you take a look at – yeah, we believe that if you still look at the – where the dollar was the strongest in the fourth quarter, even when the Euro at 143 was actually it’s coming – it was 150 last year. So it’s still a headwind in the third quarter. But we don’t think it’s going to be much of a headwind in the fourth.
Operator: Our next question is coming from Trey Grooms with Stevens Capital, please state your question.
Trey Grooms – Stevens Capital : Good morning. Just quick question on the guidance, last quarter, Sean, you mentioned that you would expect gross margin to be in the 45-45.5% range, I guess, for the full year. Is that still your thoughts on the full year? Is that still the case?
Sean Hennessey : No. I think we’re going to be slightly higher than the 45.5. So I think, year-to-date we’re at 45.6%. We don’t see any reason for that gross margin to be down at the year end.
Trey Grooms – Stevens Capital : Okay. And then on SG&A the trend there has been very similar as you look back over the last several quarters. Is there any reason to think that that would change going into the fourth?
Sean Hennessey : Yeah. You know last year our SG&A was around 633. We were down $27 million. And as sort of the answer to Saul’s question, we talked about we continued to start to annualize these things. We think SG&A is still going to be well patrolled in the fourth quarter. We’re just not going to see a $27 million decrease like we did in the third quarter, or $97 in the first three quarters.
Trey Grooms – Stevens Capital : Okay. That’s helpful. And then just to clarify, I want to make sure I heard you right in your prepared comments. I think you said tax rate for the year will be 33%, is that correct?
Sean Hennessey : Yes.
Trey Grooms – Stevens Capital : Okay. Thank you guys.
Operator: Our next question is coming from Ivy Zelman with Zelman and Associates, please state your question.
Ivy Zelman – Zelman & Associates : Good afternoon guys, thanks for the opportunity. I just wanted to ask a few housekeeping items. You mentioned that roughly 30% of your sales right now are in sort of the commercial area. And curious within that, how much would be, sort of, repair maintenance as opposed to new?
Christopher M. Connor: Ivy, it feels like new is about 40%, between 30-40% of that. And repaint would be 60-70%.
Ivy Zelman – Zelman & Associates : Okay, great. And I don’t know if you have any examples or if you said, Chris, that there customers are telling you they’re delaying CAP acts and just not putting money in. Is there a point where you kind of look at the stock and the age of that stock where you can say historically it’s been 17 year turn over where you start to see a pick-up in activity what – any correlations you help us understand on the age of that existing stock?
Christopher M. Connor: Are you talking about the industrial protective coating comments that I was making, Ivy?
Ivy Zelman – Zelman & Associates : Well, I guess in general the commercial real estate with respect to office retail, industrial. Just generally speaking is there any correlation you can glean from history on when you should start to see the stock, when it gets to a certain age that you’re going to have to see maintenance?
Christopher M. Connor: Yeah. We can go back to Houston in the mid ‘80s when the commercial real estate market was operating in a 50% occupancy rate. It doesn’t matter how old it is, if there’s nobody in those offices they’re not going to paint them. So what we need to see is the occupancy rate both in offices as well as retail return to a more acceptable run rate. New turnover will generate paint demand as tenant improvement activity takes place. So we’ll feel it right away. But on going common area maintenance does get delayed in this type of environment. I think my earlier comments on the delay in pent up demand were really intended to focus as well as on the protective and marine coating. Here we got a little earlier look back in ’00-‘01, I think our country went though a pretty prolonged manufacturing slowdown which delayed a lot of maintenance spending in the subsequent years ’02 and ’03. Saw pretty healthy double digit sales gains in that type of coating. So we have both of those kind of tail winds that eventually can come our way. But too early to make the call.
Ivy Zelman – Zelman & Associates : And one last housekeeping and then a broader question. On the housekeeping, can you give us just a sense within what it would be the repair and remodel area versus new and commercial overall, how much would be – is it skewed or is it evenly distributed between the end market property classes that you serve between office, retail, education, industrial, is it pretty evenly split?
Christopher M. Connor: I think it is, Ivy.
Ivy Zelman – Zelman & Associates : It is?
Christopher M. Connor: Yeah. It’s based the split is square footage across those properties. But I don’t think that there’s any particular sub-segment of the nonresidential category that paints at a higher rate or a lower rate materially than the others.
Ivy Zelman – Zelman & Associates : How? All performing equally as, unfortunately, bad?
Christopher M. Connor: Yes.
Ivy Zelman – Zelman & Associates : Okay. We see lodging as an example as really new orders on new construction as plunged pretty much. I was just curious if there was one that stands out. Now, Chris, I know you don’t want to make any forecasts as it relates to 2010, but you mentioned, I think, to Eric’s question on pricing that you have historically been pretty disciplined on implementing price increases in pretty much the beginning of every year. It seems like Sherwin and the industry tends to raise prices. Is there any reason why we should expect that not be the case for 2010?
Christopher M. Connor: We made no comments about our pricing activities for 2010.
Ivy Zelman – Zelman & Associates : Okay. But what about your history, has it pretty much been a historical annual even with few exceptions or any exceptions for that matter? Can you tell us the history?
Robert J. Wells: We did not raise prices at the beginning of 2009. There has been other periods in this last decade where we did not have price increases at the beginning of the year. There has been periods where we have raised prices mid year as was adjusted throughout the course of the year that we did not see at the beginning of the year. So it’s not a forgone conclusion that the company raises prices every year on January 1st.   And as we’ve been very consistent as well, not only in how we managed though that process but also in talking to the street, we’ll announce to our customers and advise you shortly thereafter. And to date, we’ve made no commitments regarding pricing for 2010.
Ivy Zelman – Zelman & Associates : Thank you, I appreciate that. And just lastly, you mentioned turnover as a catalyst for the demand for architectural coatings. We’ve seen tremendous turnover in residential, predominantly from distressed housing. At some point those distressed units are going to need refurbishment. Have you seen any pickup at all that you can get from your division, the paint store regions that might be showing up and being masked by the overall performance? Anything –
Christopher M. Connor: Yeah. We’ve commented briefly that the sale of a distressed property to yet another investor who might or might not flip it again is not the same kind of robust paints in the end that an owner occupant generates when preparing a property to sell to another owner occupant. We need to see those homes get thought that cycle a little bit. Currently the potential buyer of these foreclosures that might be flipping them is putting some minimal amount of paint and coatings into these properties to bring them up to at least show-able condition. It’s still not the kind of quality and material and breathe of color selection, etcetera that drives a higher margin, higher ticket sale for us. So, again, we just need to see some of that go out and move through the system before we get back to more normalized product paint demand for that flip. It’s not here today yet.
Ivy Zelman – Zelman & Associates : All right. Thanks guys. I appreciate your time.
Operator: Our next question is coming from Gregory Melich with Morgan Stanley.
Gregory Melich – Morgan Stanley : I guess a follow up and then one new question on the region. First the follow up on the pricing. I understand we’re not getting into the future there. But you guys have a unique history and I’m just curious, is there a time in the past, maybe the way past, in the ‘70s and ‘80s where volumes were down but because of raw materials that the industry at least was able to take our pricing. Is there anything historical?
Christopher M. Connor: Yeah. I don’t think you have to go all that far back. You can go back to 2008 when we took three prices up in the year when the industry volumes were down. So, there’s plenty of history here in the industry, Greg, it’s not just Sherwin data this is across the structure of – it’s our privilege to make products and market it in this space. So, as we’ve often commented raws account for about 80% of the final cost. And it’s not a lot of places to get relief when that’s moving in that direction. So, time will tell.
Gregory Melich – Morgan Stanley : Okay, great. And then the second question is on the regions. You talk about the south eastern area where there’s really not much improvement yet, you’re not seeing it. But there are a few area where it has at least gotten less bad. When you look at those markets what are the dynamics of those markets? Is where the housing turnover is improved or is it where prices have stabilized? What seems to in this cycle be the determining factor?
Christopher M. Connor: Yeah. I think we commented in Bob’s opening comments. It’s sequentially our eastern division out performed or was the division that had the last amount of sales decline. Midwest, southwest, kind of in step and then southeast was the lager there. Clearly as housing prices have moderated, as existing home turnovers starts to return to more normal. And the glove of access inventory in the market doesn’t exist, all those are positive factors for us. 1:00:37
Christopher M. Connor: Yeah. I think we commented in Bob’s opening comments. It’s sequentially our eastern division out performed or was the division that had the last amount of sales decline. Midwest, southwest, kind of in step and then southeast was the lager there. Clearly as housing prices have moderated, as existing home turnovers starts to return to more normal. And the glove of access inventory in the market doesn’t exist, all those are positive factors for us. 1:00:37 It's the glut of inventory still remaining primarily for us in the southeastern division as well as parts of our southwestern market that are still having an impact on this market. That glut's coming down and we're seeing — again, Ivy asked about the foreclosure market. There has been publicized reports of homebuilders literally bulldozing half-built projects and knocking sticks down in the desert. And as all that volume goes out we start to see the moderating effect on our core businesses in these other parts of the United States. So, I think we're positioned to take advantage of it. We just have to get the economic model a little better in line for what we do.
Gregory Melich - Morgan Stanley: Great. And then I just have one last question on the consumer group. It did sequentially get a few hundred basis points worse. Was that uniform or was that driven by the independence as opposed to the sales to your consumer partners?
Christopher M. Connor: Fairly uniform with the softness across other customer segments.
Gregory Melich - Morgan Stanley: And if you were to back out the independent dealers, would that business have been flattish?
Christopher M. Connor: It would have still been down slightly.
Gregory Melich - Morgan Stanley: Great, thanks.
Operator: (Operator's Instructions) Our next question is coming from Dmitry Silversteyn with Longbow Research.
Dmitry Silversteyn - Longbow Research: Good morning — well, I guess it is early afternoon. A couple of questions, most of them have been answered obviously this late in the queue, but if you look at the improvement in working capital that you've delivered, if I'm looking at the individual components of it, it looks like accounts receivable actually went up a little bit. Inventory was the big player in bringing down the working capital. Was that largely just raw material cost and inventory being lower or you actually brought down volumes of inventory?
Christopher M. Connor: I think when you look at our inventory and when you look at it third quarter to third quarter it looks dramatically lower, but when you look at it sequentially second and third, I think going into this year we were very careful in not building as much inventory as we had in the past and that's why again we had last year in the fourth quarter, working capital was a big source of cash for us in the fourth quarter. We're not going to repeat that this year. Our net working capital which is inventory plus receivables minus payables is in that $900 million range which is where we were at the end of last year so I think it had more to do with not building a lot of inventory that we did in prior years.
Dmitry Silversteyn - Longbow Research: Okay. Well, that begs the question that clearly heading into 2009 the writing was on the wall that raw material pricing was going to come down pretty precipitously. It made sense to be short inventory. As you head into 2010 and you expect some upward pressure on raw material costs, is it time to go long inventory here? Is it time to start building inventory at lower prices to help you mitigate the increases down the line next year?
Christopher M. Connor: We have looked at this and it is interesting, we looked at a lot of different — back in the '70s I think we used to go out and rent warehouses and buy raw materials if we thought the raw materials were going up. When you sit there and take a look at it today, the efficiencies of the delivery systems of raw materials and the systems that we have in our plant, we don't think we gain much. We actually probably lose something on the operating side and so we might buy some of an individual item, but in general we don't take a position that way.
Dmitry Silversteyn - Longbow Research: Okay, that makes sense. And then I just want to clarify that you talked about prices being sequentially flat in both your consumer group and your paint store group. What was pricing like year over year?
Christopher M. Connor: Year over year it was up low single digits.
Dmitry Silversteyn - Longbow Research: In both channels?
Christopher M. Connor: Yes.
Dmitry Silversteyn - Longbow Research: Okay. And just to followup on the question that was asked earlier about the difference in the results that you've delivered in the third party channels and the results that some of your larger competitors have reported last week, yours being down looks like mid-single digits in terms of volume and your competitors being I think flattish to up. You don't see that as a share loss, you just see that as a relative performance of your distribution partners or your channel partners, correct?
Christopher M. Connor: Oh we definitely see it as a share loss. We've been consistent on that this year when we commented that we believe that we've been gaining share against the contractor segments which are declining and that our DIY share has been perhaps flat in our consumer segment and down slightly in our stores. So I think the reality is that the company has lost some DIY share in this environment. Also, if you look at the channel share that's occurring, there is a shift from the specialty paint store high end DIY customer to the Home Center and discount channel that's occurring as well too. So there's some share shift there as well that doesn't fit our model in this environment particularly well either. So I think we've been very open about that and the numbers you refer to would confirm and reflect that.
Dmitry Silversteyn - Longbow Research: Okay. Thank you very much.
Operator: Our next question comes from the line of Chuck Cerankosky with Northcoast Research Group. Please state your question.
Chuck Cerankosky – Northcoast Research Group: Good morning — or good afternoon, everyone. And I'm going to ask a couple of questions and Alice has something too for you. Sean, in looking out to next year, how do you feel about CapEx, might it be above or below where we are at now? And similarly for the tax rate and perhaps your thoughts on how that might be affected by what's before Congress at this time?
Sean P. Hennessy: Yeah. We really haven't finished our modeling CapEx, but I will say in general we have commented on it and it was really a reduction in our CapEx has not been in maintenance CapEx. We continue to spend that. Systems CapEx, we continue to spend that. Capacity with some — we still are going to open 50 new stores this year. So we see that continuing, but we also see the capacity CapEx probably is going to be dampened for the next couple of years. And the other question is talking about the tax rate. We are watching that, but we still think that we are probably a little early to comment on this, but we still think our tax rate could be in that 33% range.
Chuck Cerankosky – Northcoast Research Group: All right. Hey, Sean, could you tell us how much you paid either per share or in total for the shares you repurchased during the quarter?
Sean P. Hennessy: Yeah . year to date we've spent — the average cost was $57.57 and the quarter was just above that, but that's the year to date number I just gave you, but it was below $60, that's for sure.
Chuck Cerankosky – Northcoast Research Group: All right. And then finally, I think in the press release this morning you mentioned that you were encouraged by a couple of things you were seeing in the global group in terms of sales and whatnot. Could you just give us a little more color around that comment in the press release?
Sean P. Hennessy: Yeah. I think it had to with the architectural paint sales in South America. I think that's where we're feeling a little bit better in the global group is that architectural business in South America.
Chuck Cerankosky – Northcoast Research Group: All right. Thank you very much.
Operator: Our last question is coming from Robert Felice with J. Goldman.
Robert Felice - J. Goldman & Co.: Hey, guys. Thanks for squeezing me in here. Just one quick question, going back to the fourth quarter revenue guidance, and again, I hate to beat a dead horse, but if we were to exclude price, foreign currency, and acquisition, just looking on a pure volume basis, could you give us a sense as to what your guidance implies for volumes both on a sequential basis, the fourth quarter of '09 versus the third quarter of '09, as well as year over year fourth quarter of '08 versus fourth quarter of '09?
Christopher M. Connor: All right. Well, if you back out these three things for the fourth quarter you pretty much are at the same guidance that we're giving you; 8%-12%. There's not a lot of any of those factors. Pricing is pretty much through the system. There is not a lot of acquisition or foreign exchange in those numbers. Sequentially it's getting better. We have had strong double digit decline in the mid-single digits. We started the year with high teens in terms of year over year decline and so we've come to this part of the year for us and it's starting to look at little less onerous to us sequentially as well as year over year. And we've commented I think a couple of times in the call, Rob, about some of the segments. DIY approaching flat performance and the repaint portions of the contractor business also performing in the lower mid-single digits decline versus the higher teens that they've been running at. So those things are all starting to feel a little bit better to us, it's just this new construction and the commercial headwind that's still got us a little perplexed.
Robert Felice - J. Goldman & Co.: Okay. That's helpful. And it seems as though the reason it's down 8-12 off of the already depressed basin in 4Q08 is because you have the absence of pricing as that phases through the —
Christopher M. Connor: That's correct. There's very little in this quarter in that regard.
Robert Felice - J. Goldman & Co.: Okay. That's helpful. Thank you very much.
Operator: There are no further questions at this time. I'd like to turn the floor back over to Bob Wells for any closing comments.
Robert J. Wells: Thank you. I'd just conclude by thanking you once again for joining us on the call today. We do appreciate your participation. As a reminder, we will be available over the remainder of the day to answer any followup questions we didn't get to on the call. As always, we'd like to thank you for your continuing interest in Sherwin-Williams.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time and we thank you for your participation.